Operator: Good morning, and welcome to The ODP Corporation’s Third Quarter 2023 Earnings Conference Call. All lines will be on a listen-only mode for today’s call. [Operator Instructions] At the request of The ODP Corporation, today’s call is being recorded. I would like to introduce Tim Perrott, Vice President, Investor Relations and Treasurer. Mr. Perrott, you may begin.
Tim Perrott: Good morning, and thank you for joining us for The ODP Corporation’s third quarter 2023 earnings conference call. This is Tim Perrott, and I’m here with Joe Vassalluzzo, our Chairman of the Board, who has assumed the responsibilities of our CEO, Gerry Smith, who is on medical leave. Also with us is Anthony Scaglione, our Executive Vice President and CFO. During today’s call, Joe will provide opening comments and highlights of our accomplishments for the third quarter of 2023. After Joe’s commentary, Anthony will then review the details of the company’s third quarter results, including highlights of our divisional performance. Following Anthony’s comments, we will open up the line for questions. Before we begin, I need to inform you that certain comments made on this call include forward-looking statements, which are subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements reflect the company’s current expectations concerning future events and are subject to a number of risks and uncertainties that could cause actual results to differ materially. A detailed discussion of these risks and uncertainties are contained in the company’s filings with the U.S. Securities and Exchange Commission. During the call, we will use some non-GAAP financial measures as we describe business performance. The SEC filings, as well as the earnings release, presentation slides that accompany today’s comments and reconciliations of the non-GAAP financial measures to the most directly comparable GAAP financial measures are available on our website, investor.theodpcorp.com. Today’s call and slide presentation is being simulcast on our website and will be archived there for at least 1-year. I will now turn the call over to Joe Vassalluzzo. Joe?
Joseph Vassalluzzo: Thank you, Tim, and good morning, everyone. I would like to welcome all our analysts and investors who have joined our call today. I’m Joe Vassalluzzo, Chairman of the Board of The ODP Corporation. As Tim mentioned, and as we announced back in September, I have assumed the authority and responsibilities for our CEO, Gerry Smith, until he returned from his medical leave. Gerry is continuing to recover at his home. And we expect that Gerry will remain on leave for several more weeks. We all wish him well and a speedy recovery. Please note that we will not be providing additional comments on Gerry’s health during the Q&A portion of our call. Before I highlight our progress for the quarter, I want to provide a few observations after stepping into the role and being more actively involved in the day-to-day operations of ODP. First, I am extremely impressed with the capabilities and bench strength of our team. Not only at the leadership level, but throughout all levels of the organization and across our business units, we have assembled a tremendous team, a team that is committed to driving operational excellence. And the term operational excellence is not just a catchy phrase at ODP. It is a mindset and culture that permeates throughout our company and is embedded in the DNA of every employee. In the weeks since I assumed Gerry’s responsibilities, I have experienced firsthand our team’s strong 5C Culture and maniacal focus on driving a low-cost model, both of which serves us well as evidenced by our continuing strong operating income performance in the quarter and throughout the year. Next, I would like to emphasize the value we are creating through our four business unit structure, and our team’s unwavering focus on executing upon our three horizons strategy. You can find a visual representation of this on Slide 4 of our presentation. The introduction of our four business unit structure a year-ago has fundamentally transformed our business, positioning ODP to pursue new and exciting opportunities. This enhanced foundation aligns our go-to market strategies, improves our asset utilization, further leverages the benefits of scale, and provides our investors greater visibility into the value of the assets we control. Together with our capital allocation priorities, these elements have power us to pursue the long-term full potential of ODP, driving value for all stakeholders. A prime example of this can be witnessed in the remarkable transformation of our supply chain assets, which are now organized under Veyer. Once an internal cost center within ODP, Veyer is now emerging into a thriving logistics and supply chain company, not only supporting our internal customers, but also serving some of the most renowned brands in the United States. In only its first year, Veyer has established a clear path ahead for profitable growth and value creation. And under our four business unit structure, our team is unlocking the value of ODP through executing upon what we call our three horizons strategy. This strategy puts into perspective how we will drive our business units to unlock the underlying fundamentals, pursue long-term sustainable growth, and maximize shareholder value. It consists of our first horizon, where we are driving strong EBITDA and cash conversion at Office Depot, leveraging their core competency of providing excellent customer experience as indicated by our industry leading net promoter scores and expanded product and service offering. Our second horizon focuses on delivering long-term growth, margin expansion, and cash flow from ODP Business Solutions, our B2B distribution business. ODP Business Solutions possesses tremendous scale and reach with a large and growing customer base and broad assortment of products and services. As you read in the press release this morning, while growth has been challenged in the near-term, we continue to make solid progress and are moving along well along the margin expansion path we sent. And in our third horizon, we are building value and positioning ODP to pursue higher long-term opportunities through Veyer and Varis. So overall, our three horizons strategy enables us to drive short, medium, and longer-term performance, which we believe will help us grow earnings, expand our multiple, and create significant value for our shareholders. Before I turn it over to Anthony, for a more detailed review of our results, I would like to highlight a few of our accomplishments in the quarter, as shown on Slide 5. Our team delivered another quarter of strong operating and earnings per share results, reflecting on our steadfast commitment to operational excellence and disciplined capital allocation. The two primary elements of our shareholder value creation formula. We expanded margins at ODP Business Solutions, added new product testing and category expansion at Office Depot, secured new third-party customers at Veyer while remaining on track to more than doubling third-party EBITDA this year, and enhanced our platform and customer engagement at Varis. Despite facing challenges related to a broader macro-economy and a softer-than-anticipated back-to-school season, our low-cost business model, combined with our team’s exceptional execution, enabled us to deliver impressive performance, resulting in strong operating and earnings per share results. And finally, with our strong balance sheet and liquidity, we continue to execute on our shareholder-focused capital allocation plan. We’re purchasing a significant number of shares during the quarter that when combined with our strong operating results, contributed to a notable year-over-year increase in adjusted earnings per share for the third quarter and, once again, revised upward EPS guidance for the full year. In summary, as we approach the end of this year and set our sights on 2024, we will continue to be mindful of the macro environment and the potential headwinds to our business, remaining disciplined in our approach. And as I mentioned earlier, I am extremely impressed by the accomplishments of our team and our unwavering commitment to maintaining operational excellence as we progress forward. With that, I will now turn it over to Anthony Scaglione, for a more detailed review of our third quarter performance.
Anthony Scaglione: Thank you, Joe, and warm welcome to all participants joining our call today. Prior to discussing our third quarter performance, I would like to take a moment to express my gratitude to Joe and extend my well wishes to Gerry for a swift recovery. I echo Joe’s comments and would like to recognize our entire team for their steadfast commitment and outstanding execution during this quarter. Our team’s disciplined focus on driving our low-cost business model has enabled us to deliver impressive results in the quarter, despite a more challenging macroeconomic environment impacting our top-line. Turning to the highlights of our key accomplishments for the third quarter as shown on Slide 7. First, on a consolidated basis, we drove strong operating income performance in the third quarter, despite the generally weaker macroeconomic conditions. While overall revenue was down largely due to a more cautious demand environment and fewer stores in service. Our low-cost business model approach helped us drive adjusted operating income results that were consistent with last year. And when combining this performance with our stock buyback, we drove a 27% increase in adjusted earnings per share versus last year, a meaningful accomplishment, and one that has positioned us to again increase our adjusted EPS outlook for the year. I cannot say enough about our team’s continued focus and discipline in achieving these solid results in the quarter. Next, we remain committed to our capital allocation plan by continuing to execute upon our $1 billion share repurchase authorization that our Board of Directors put in place a year-ago. We continue to believe that buying back our stock at these levels is one of the best investments we can make to create additional shareholder value. During the quarter, we repurchased approximately 660,000 shares for $32 million, and over the past year, we have bought back 9 million shares for approximately $420 million. Putting this activity into context, since November of last year, we have bought back approximately 25% of the market value of the company. And lastly, we are making good progress across our four business units, driving increasing margins at ODP Business Solutions, external revenue and EBITDA growth at Veyer, expanding our assortment at Office Depot, and continuing to enhance our Varis platform. Now, turning to the specifics of our financial results as shown in Slide 8. Consistent with previous quarters, we have provided our results on both a GAAP and adjusted basis. In the third quarter, we generated total revenue of $2 billion down 8% year-over-year. At the weaker macroeconomic conditions resulted in some pullback in spending amongst businesses and consumers, along with fewer stores in service year-over-year. Lower sales at Office Depot was a primary driver, partially due to 71 fewer stores in service compared to last year, as well as a reduction in consumer traffic and lower-than-expected demand during the back-to-school season. Revenue at ODP Business Solutions was also slightly lower, primarily related to macroeconomic challenges resulting in a more conservative spending from some of our enterprise customers and the overall impact from market uncertainty. Despite the lower revenue in the quarter, GAAP operating income was $91 million, up over 8% to Q3 of last year. Included in operating income was $4 million of charges primarily associated with non-cash asset impairments, largely related to the right-of-use assets associated with our store locations. Adjusted operating income for Q3 was $95 million, consistent with last year, and included unallocated corporate expenses of $20 million. Adjusted EBITDA was $125 million for the quarter, compared to $131 million in the same period last year. This includes depreciation and amortization expense of $28 million and $32 million in the third quarters of 2023 and 2022, respectively. Excluding the after-tax impact from the items mentioned earlier, adjusted net income for the third quarter was $73 million or $1.88 per diluted share, representing a 27% increase in adjusted EPS, driven by strong operating performance and a continued execution under our share repurchase program. Turning to cash generation. We drove strong cash flow results in the quarter. Operating cash flow in the quarter was $112 million compared to $163 million last year. Capital expenditures in the quarter were $25 million flat compared to last year’s third quarter, targeting investments in our supply chain, digital transformation, and e-commerce capabilities. Adjusted free cash flow in the quarter was $89 million compared to $160 million in the same period last year. On a year-to-date basis, we’ve generated $192 million in adjusted free cash flow versus $54 million year-to-date through the same period last year. The difference in adjusted free cash flow is primarily related to the timing of working capital, including the management and timing of ocean freight container costs, which was a challenge in the prior year. I want to thank our entire team for remaining disciplined and focused on working capital and inventory management, resulting in these strong year-to-date cash flow results. Now, I’d like to cover our business unit performance, starting with ODP Business Solutions on Slide 9. ODP Business Solutions are large and diverse B2B distribution business, delivered strong operating results in the quarter, expanding its margins, and generating a meaningful increase in operating income, despite a softer top-line. Revenue was approximately $1 billion in the quarter, down 3% versus last year, driven primarily by macro factors, causing what we see as more cautious enterprise spending, as well as slower return to office trends. Notwithstanding the more restrained level of business spending, we are continuing to win new accounts and believe our revenue performance is outpacing other market participants, resulting in share gains. Additionally, we are working to onboard some of our more recent large enterprise wins that I’ve taken longer to implement, but we expect to have them up and running by year-end or early next year. I would also like to note that our Federation companies, our regional tuck-in M&A entities continue to remain resilient. We’ve been successfully executing this strategy and growing this business, which now generates well over $600 million in revenue on an annual basis. This market continues to be highly fragmented and our disciplined M&A approach gives us tremendous runway to keep growing our platform strategically over time. Our adjacency category penetration remained at approximately 44% of the total division revenue. Adjacency categories include cleaning and breakroom products as well as furniture, technology products, and copy and print services. While cleaning and breakroom categories grew over last year, this was more than offset by lower sales of technology products as well as other categories previously in higher demand during last year’s supply chain constraints. As a notable KPI for ODP Business Solutions, our adjacency category penetration may fluctuate from quarter-to-quarter, but our long-term objective is to consistently grow these categories both on an absolute dollar and percentage basis, as we expand our value proposition and continue to leverage our strength in core categories. From an operating perspective, ODP Business Solutions continue to drive margins higher in the quarter, with operating margins reaching 6%, a 100 basis point improvement over last year, resulting in $56 million in operating income, a 17% increase over last year. This margin improvement is a tremendous accomplishment given the macro challenges and places us on a strong path to generate growth with consistent margins, a goal we set out at Investor Day last year. Competitively with our strong balance sheet and compelling offering, our pipeline of new business remains at a historically high level. We’re continuing to win nearly 100% of customer renewals while adding net new business wins. While we have witnessed the choppy few months and expect back to continue through the end of the year. We are confident that ODP Business Solutions foundation remains strong. Our customer service and value proposition continues to be compelling. And we are competitively well positioned to continue to drive results in the future. Now, turning to our consumer division results at Office Depot, as shown on Slide 10. Office Depot, our omni-channel consumer business, serving small businesses, education, and home office customers, continues to provide exceptional service and compelling value proposition to its customers as demonstrated by our consistent NPS scores above 70% among the highest in any consumer business. In the quarter, however, our top-line continued to be challenged as a slowing economy and high inflation moderated the pace of consumer spending and impacted demand during the back-to-school season. Reported revenue for the quarter stood at $1 billion and 12% declined. Same-store sales were down about 6% as lower retail sales and online traffic outweighed higher conversion. We also had 71 fewer retail stores in service versus last year related to planned store closures as well as lower traffic and transactions in both our retail and e-commerce channels. From a product perspective, stronger sales of copy and print were more than offset by lower sales of higher ticket items including technology products and furniture. While conversion rates were stronger in the quarter, the reduced sales of higher ticket items impacted average order volumes and thus resulted in lower sales per shopper. Sales in back-to-school categories did not materialize at the level we had anticipated largely related to the software economy and a lack of the second and third wave of return trips to the store, a behavior that we have not typically seen in the past. And we were not alone, as early data shows that overall demand in our relevant back-to-school categories was generally soft during the period, a little less so in our private brand products, an indicator of customers being more cautious with their spend. With our relationships with school districts, teachers, and students, we have the right to win year-round. As a result, we are launching our Education 365 initiative in Q1 of next year, an integrated year-round approach involving both our B2B and our omni-channel businesses. We are putting the pieces in place now, which will include among other things, boots on the ground, key incentives in marketing, and I look forward to sharing more next quarter. From an operating perspective, margins were 7% flat with last year as the team worked to offset some of the top-line challenges. We remain disciplined with pricing as we work to maximize the profitability of every interaction. We continue to see good results in copy and print, a highly profitable part of our business, up double-digits in Q3. That said, operating income was $66 million in the quarter, down compared to $83 million last year. Lower operating income compared to last year was mostly driven by the flow-through impact from lower sales volume. While we expect the macro environment to remain challenging as we close out the year, we continue to focus on our low-cost business model approach, working to optimize our organizational structure, updating our store labor model, and driving cost-saving initiatives. From an e-commerce perspective, our new leader is taking steps to realign our digital marketing efforts designed to drive greater traffic and conversion. So, overall, while it was a challenging quarter for our consumer business, we’re focused on driving the components of our business that we can control and believe we are well-positioned to continue to drive this cash engine going forward. Next up is Veyer, as shown on Slide 11. Veyer is our world-class supply chain services and logistics provider with core competencies in distribution, fulfillment, transportation, and global sourcing and purchasing. Their assets and capabilities include over 8 million square feet of infrastructure through a nationwide network of distribution centers, cross-docks, and other facilities throughout the United States, a global sourcing presence in Asia, a large private fleet of vehicles, and next-day delivery to 98.5% of the U.S. population. Veyer serves the needs of their primary internal customers, Office Depot, and ODP Business Solutions, as well as for other third parties through our procurement and supply chain expertise. We’re very encouraged about the continuing progress at Veyer in the quarter delivering efficient services to its internal customers, while gaining momentum with external third-party customers. On a consolidated basis, Veyer drove sales of $1.3 billion, predominantly supporting the purchasing and supply chain operations of ODP Business Solutions in Office Depot, which are effectively eliminated upon consolidation. As a reminder, through our intercompany agreements, as Veyer drives greater efficiency for its internal customers, much of this benefit is captured through ODP Business Solutions in Office Depot, benefiting the entire enterprise rather than being reflected only in Veyer’s results. Therefore, by continuing to optimize its network and drive the low-cost model, Veyer provides value to its internal customers and positions itself to deliver a strong value proposition for new third-party customers. A key area of focus to assess Veyer’s value creation is by looking at our progress with external third-party customers. In the quarter, Veyer continued to add new external customer logos to its slate of business providing service for some of the nation’s most renowned brands. This continued to drive revenue and EBITDA growth from third-party customers. In fact, third-party revenue was up in the quarter to $11 million, an increase of over 50%. Veyer’s profit from backhaul was up over 100% versus last year and over 50% year-to-date. From a bottom line perspective, Veyer’s total operating income in Q3 was $10 million compared to $9 million last year, primarily due to the aforementioned inter-company transactions, mix, and third-party activity. And from an external customer perspective, we generated slightly more than $3 million of EBITDA from third-party customers, representing nearly a 120% increase over Q3 last year, positioning us well on our way to more than double EBITDA from third-party customers in 2023. It is becoming evident that Veyer’s compelling value proposition is beginning to resonate with our expanded set of customers. Veyer also continues to make progress on its modernization roadmap as they build out additional capabilities in the information systems that it uses to run its business. We’re partnering and deploying a Gartner Magic Quadrant Level tech stack that positions us to more effectively manage our business, improve service levels, and provide the flexibility necessary to deliver services to external third parties. For example, our in-house develop flow path technology that we now call Veyer Kinetic provides critical cost intelligence to optimize our operations and service levels for our customers. We’ve also begun to deploy our new warehouse management systems, supporting our operations, and automating tasks, improving our ability to provide services to third-party customers. We remain very excited about Veyer’s progress and how this hire multiple business positions ODP to drive profitable growth in the future. Now, turning to Varis, as shown on Slide 12. Varis, our digitally native B2B procurement platform, launched less than a year-ago, continues to enhance its platform with new features and is attracting and providing a seamless process for onboarding new customers. While Varis’ revenue ramp has been slower than originally anticipated, we remain encouraged by the strong interest it continues to attract from both customers and suppliers. Recognizing that Varis is still in the very early stages of development, ramping customer activity takes time, which has led to lower sales momentum than we originally anticipated at the beginning of the year, but consistent with what we announced during our Q2 earnings. During the quarter, Varis generated approximately $2 million in revenue, primarily derived from subscriptions from existing customers, and an operating loss of $17 million flat with last year, as the company continued to enhance its platform and onboard new customers. It included with these results was approximately $1 million of non-cash stock option expense, which is tied to criteria specific to Varis. For the full year, we expect this figure to be approximately $3 million and will be excluded from our adjusted non-GAAP metrics. Now, briefly turning to our balance sheet highlights, as shown on Slide 13. We ended the quarter were total liquidity of $1.2 billion, consisting of $384 million in cash and cash equivalents, which includes cash held internationally of approximately at $100 million and $771 million in availability under our asset-based lending facility. Total debt at the end of the quarter was approximately $173 million. As previously mentioned, we’ve continued to buyback shares under our $1 billion share buyback authorization, repurchasing about 660,000 shares for $32 million. In total, we have repurchased 9 million shares for approximately $420 million, since the program began 1-year ago. Moving forward, we will continue to be disciplined and focused on maintaining a strong balance sheet, allowing for ample flexibility to invest in our business and repurchase shares. Now, moving on to Slide 14 that highlights our updated guidance for 2023. Our operating performance year-to-date speaks to the resiliency of our team and the strength of our low-cost business model and strategic capital allocation. While the weaker macroeconomic conditions have impacted the level of business and consumer activity, creating top-line headwinds, our relentless focus on operational excellence has us well positioned to continue to drive operating results and initiatives across our four business units as we close out the year. Considering our performance to date, along with current macroeconomic conditions and expectations for revenue trends, we updated our revenue guidance to confirm a target below our previous guidance range, moving from revenue expectations to a range of $7.8 million to $7.9 billion, while reaffirming our guidance for adjusted EBITDA, adjusted free cash flow, and CapEx. Also, given our strong operating performance to date, we are increasing our guidance for adjusted operating income to a range of $280 million to $310 million, up from the previous range of $270 million to $300 million. We are also increasing our guidance for adjusted earnings per share to a range of between $5.30 and $5.60, up from our previous range of $5 to $5.30. Our updated guidance assumes a consistent macroeconomic environment and reflects our year-to-date revenue trends. Our increased adjusted EPS outlook assumes a lower full-year effective tax rate driven by the execution of certain tax credits, lower-than-anticipated interest expense associated with projected ABL borrowings, and the impact from our continued share buyback activity. Looking forward, as we close out the year, we will remain disciplined, maintaining our focus on cash conversion, capital allocation, and EPS growth. So, overall, despite the challenging macro conditions and softer top-line, we remain in a solid operating position, driving our cash flow and with our continued focus on delivering capital returns to shareholders, significant earnings per share growth. I remain excited about our four business unit structure and what we can deliver over time. With that operator, we will turn the call over for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Jeff Lick. Mr. Lick, please state your company name and proceed with your question.
Jeff Lick: Hi, it’s Jeff Lick with B. Riley Financial. Chairman, Joe, great to have you on the call. You did a great job. So guys, I was wondering, just first off, if you could give some details on Business Solutions, the revenue was down 3.8%, but operating income up 17%. So I’m just curious if you could kind of elaborate where the growth in operating income came from, whether it was gross margin dollars or better expense management, a little bit of both.
Anthony Scaglione: Hey, Jeff, how are you doing? This is Anthony. I’ll start and have Chairman, Joe, provide any additional commentary. Overall, a decent quarter, slightly soft on the top-line, and that’s really could be described primarily to what we saw as lower tech sales in the channel, something we’ve seen in the past few quarters and lower larger ticket items, specifically in the furniture, which were in higher demand last year. I want to reiterate our pipeline continues to be very strong. Our new wins continue to be strong, although new win conversion has taken a little bit longer than what we’ve liked to see. And let me qualify that those are for large scale wins, multi-million dollar wins that we have secured, but the conversion is taking a little bit longer. From a retention standpoint, we’re still running, as we mentioned, close to 100%. And right now, we’re just seeing, broadly speaking, our customers being a bit more cautious than we would like. And then the last point I would just want to mention, and this is enterprise-wide, we are in a position of balancing strength, something that I know many of our competitors can’t say. And I think that leads to long-term stability from a customer basis and why I feel we’re winning new business and seeing more opportunities today. So although that in summary, while top-line was down, really strong performance by the team.
Jeff Lick: And then you just kind of a bigger picture follow-up. So if I look at your guidance on the operating income line of $280 million to $310 million for the year, you’re at $247 million through 3 quarters, which implies a range of 33 [Technical Difficulty] if that’s even really possible to have that big of a range in the last quarter, and maybe if you could just maybe unpack some puts and takes, what’s going to drive that?
Anthony Scaglione: Yeah, great question. And, obviously, we’re being cautious based on still the macro uncertainty. We have line of sight into opportunities within Business Solutions retail tends to be a little bit more choppy as it relates to performance. So we’re just being conservative in terms of ensuring that we have enough flexibility on both ends to hopefully outperform the midpoint.
Joseph Vassalluzzo: Hello, Jeff, this is Joe.
Jeff Lick: Oh, please go ahead.
Joseph Vassalluzzo: No, I just wanted to say, hello, Jeff, and this is Joe Vassalluzzo. Just to echo Anthony’s sentiments in terms of the macro challenges. Certainly, corporate layoffs have had some impact as well as the slowness and return to office trends.
Jeff Lick: Just a real quick one and I’ll leave it. With respect to Veyer and Varis, I’m just curious, can Veyer be up sequentially in Q4 operating income from the $10 million you did in Q3, and then any update on Varis in terms of how the cadence of that operating loss will play out?
Joseph Vassalluzzo: Yeah, I think for Veyer, we clearly put out a plan that we’re going to more than double and we’re on that plan, and that continues to be the execution from that team. And it’s been a really positive, I think you heard it, the excitement last quarter with Gerry around the progress that we’ve made in Veyer, and we continue to see opportunities within that business unit, both from a top-line and, more importantly, from a third-party EBITDA creation standpoint. And in Varis, no real meaningful update to what we said in Q2 in terms of a little bit of softer than what we would like, but we provided that update as part of our Q2, so no further update other than they continue to make progress working with our customers and suppliers, but no further update from a performance standpoint for the balance of the year.
Jeff Lick: Awesome. Great quarter. Thanks very much and I look forward to you touching base later.
Joseph Vassalluzzo: Thanks, Jeff. I appreciate it.
Operator: Thank you. Wait for our next question. It comes from the line of Michael Lasser. Mr. Lasser, please state your company name and proceed with your question.
Michael Lasser: Good morning. Thank you so much for taking my question. It’s Michael Lasser from UBS. Anthony, how long can sales decline at this rate and on ODP still generate flat to positive operating income moving forward?
Anthony Scaglione: Well, I hope we don’t decline at this rate forever, but obviously the macro is something that we’ve been signaling from the beginning of the year. So, I think we’ve been very consistent and transparent that we see the choppiness there. But I think we also demonstrated that we can and have been focusing on the levers we can control and managing through that choppy environment by staying vigilant on cost, driving that cash conversion, ensuring that we have the value proposition with customers and not chasing bad deals. And I think that’s key at the end of the day in both our channels. We’re being vigilant in terms of the cost drivers. We’re being vigilant in terms of the pricing drivers. And we’re seeing some positive indicators, especially in our B2B business, across ODP Business Solutions and Veyer that are encouraging, but we’re still dealing with a relatively choppy macro and ensuring that we continue to stay focused on the cost levers that we have in front of us.
Michael Lasser: And this is probably asking the same question just a slightly different way. If we assume in our models that ODP sales decline at a similar rate in 2024 as the macro gets worse next year, is it best to expect deleverage on operating income or you’ll have to invest some of the profits to stabilize or continue to maintain your market share?
Anthony Scaglione: Yeah, I mean we’re not addressing long-term targets today, so I want to caution on 2024, but I think we’ve exhibited our ability to manage the cost side of the business. Clearly, we have opportunities on the B2B side and broadly speaking with ODP Business Solutions that we’re seeing as a positive given my earlier remarks around our balance sheet strength to work with our customers more strategically. Our pipeline continues to be the best we’ve ever seen. While the conversions are taking longer, we’re winning new business and I think that is the opportunity we have to offset some additional pressure on the retail side as we continue to comp negatively and continue to rationalize the portfolio from a store count perspective.
Joseph Vassalluzzo: Hello, Michael, this is Joe Vassalluzzo.
Michael Lasser: Hey, Joe.
Joseph Vassalluzzo: Go ahead. I’m sorry, Michael.
Michael Lasser: You go ahead, Joe.
Joseph Vassalluzzo: I just wanted to introduce myself, Michael, to you. This is Joe Vassalluzzo, again. Just to echo what Anthony’s been saying with regard to ODP Business Solutions and really goes beyond that, it’s throughout all four of our business units is our commitment, and myocal [ph] focus on operational excellence and our capital allocation plan and our low-cost business model. That permeates everything that we do and I think it’s evidenced by the performance you see, despite the top-line softness that we’ve witnessed.
Michael Lasser: Got it. Thank you very much. My last question is, why is the progress on the top-line at Varis slower than what you expected?
Joseph Vassalluzzo: Yeah, we addressed that last quarter, Michael. We had some technical stack issues that we had to address that we completed early in Q3, so we’re a couple of quarters behind where we would like to be from a various perspective. That being said, we are getting good feedback from customers across our retail manufacturing education markets that the one-stop purchasing platform that Varis is resonating. It just onboarding and ramping is taking a little bit longer than what we would have liked and what we expected at this time when we provided initial guidance.
Michael Lasser: Okay. Thank you very much, and good luck.
Joseph Vassalluzzo: Thanks, Michael.
Operator: Thank you. One moment for our next question, please. And it comes from the line of Greg Burns. Mr. Burns, please state your company name and proceed with your question.
Gregory Burns: It’s Greg Burns from Sidoti & Company. Just to follow-up on that last question around, Varis, now that the stack is, I guess, where you want it to be or completed, what are the major bottlenecks in terms of onboarding new customers? Is it just more sales resources? Or how do you see the growth they’re developing?
Anthony Scaglione: Yeah, I think it’s more getting the customers on-boarded, and then the ramp and the conversion from potentially not having a system in place from a procurement or switching procurement system just takes a little bit of time. So as we now have the stack developed and we’re going to continue to make progress with the tech stack to continue to add features, but the majority of what were the delays in the first half were rectified in Q3. So it’s really about the customer conversion and then ultimately that customer conversion since it is a growth transaction volume business, getting those customers to interact with the platform, and ensuring that we see the GTV growth over the next couple of quarters going forward.
Gregory Burns: Okay. And then for Office Depot, I know a while back maybe your analysts that you’d put out a target for getting to flat comps on that side of the business, do you still have line of sight on that? And maybe could you give us an update on some of the new growth initiatives you have there around new product categories, maybe new service offerings to drive retail traffic to your stores?
Anthony Scaglione: Yeah, sure. On the first one, again, we’re not providing any updated long-term guidance, but we plan to address all those questions as we guide for 2024. From a category expansion, as I mentioned last quarter, really just started the expansion of the categories, and it’s really early days. The feedback has been positive. We did a lot of agile test and learn, and we saw progress both in the party and dorm collections that we launched this year. We just hired a new chief merchant in Office Depot, someone from outside the industry who’s really bringing in a new fresh perspective on both category management and expansion. So it’s early days and we see opportunities, how we’re going to drive the traffic both on our e-commerce and in-store is going to be doing things differently and we have plans in place to address that in 2024 and beyond.
Gregory Burns: Okay. And then for Business Solutions, I guess, obviously technology and maybe some other categories like furniture or being a little bit of a drag. Are we – where are those categories relative to pre-pandemic? Like have we reset the bar now where you can grow or is there more maybe potential downside to some of those other adjacent categories?
Anthony Scaglione: Yeah, let me break that down a little further. So when you look at a pre-pandemic, obviously the pandemic came in cleaning and breakroom, tech, workspace, it all went up as you can imagine companies redefining work from home. So we saw lift across all our business. As we look at tech, I think tech is more of this year specifically a cyclical impact. I don’t think we’re alone here by any means in terms of what we saw as softness in the tech. It’s starting to see some opportunities open up recently, but I still think there’s opportunities in 2024 that will normalize. So, tech, I would look at it as more of an industry-wide, not ODP Business Solutions, ODP specific issue. For furniture, there’s large deals and we’ve had some great wins even this year. It was just a little bit softer in Q3 compared to prior year. And we saw heightened demand during the pandemic, but I think we’re at more of a normal and we’ve been at a normalized level of furniture and workspaces this year. And then the last one, cleaning and breakroom, clearly that had to spike in during the COVID time period. But that’s an area where we still see opportunities for growth, and it’s a growth end market as well. So those are why we’re leaning into those adjacency categories, because we see ultimately those adjacency categories being growth drivers for the business.
Gregory Burns: All right. Thank you.
Anthony Scaglione: Thanks, Greg.
Operator: Thank you. One moment for our last question, please. It comes from the line of Joe Gomes. Mr. Gomes, please state your company name and proceed with your question.
Joe Gomes: Congrats on the quarter. It’s Joe Gomes with Noble Capital.
Anthony Scaglione: Hey, Joe.
Joe Gomes: So the first question, Anthony, you mentioned a couple of times about the slowness of onboarding some of the new clients there in Business Solutions. I just wondering, you give us a little more detail. Is that specific to Office Depot? Is that due to your – ODP, or is that due to the clients just taking longer? Just a little more clarity there, please.
Anthony Scaglione: It’s mostly client-driven. And, again, I want to qualify, these are large-scale wins, conversions from an incumbent take time. And as you can imagine, the incumbent does everything possible to hold onto this contract as long as they can. Something that we do if we lose a contract. So some of this is normal. But what we expected some of these large wins to start in Q4, it looks like they’re going to start later in the quarter or early Q1, which is impacting some of ODP Business Solutions results for the balance of this year. But, overall, like I mentioned, we continue to have extremely good opportunities ahead of us. Our pipeline continues to be extremely strong. We’re winning close to 100% of our renewals. And I think it goes back to from an enterprise perspective, we are coming in with a balance sheet that’s strong. We can work with our customers around what they want to achieve, both from a delivery perspective, a service perspective, a cost perspective. And, I think that’s going to afford us opportunities as we think about 2024 and beyond, when we look at the competitive landscape. Being the position that we are in and the position we’ve been able to manage from a balance sheet standpoint, give a lot of credit to the team. But I think that’s an area that we will be able to drive profitable growth over time.
Joe Gomes: Okay. Thanks for that. And on the retail stores, you mentioned some soft as a consumer traffic. Are you guys doing anything different to try and help improve retail traffic either at the stores or online? And similarly, last quarter you had started the college collections and party supplies. Just wondering one quarter in how that was accepted.
Anthony Scaglione: Yes, on the latter point, the college supplies early days, but we saw positivity. It was just very small. We wanted to test and learn versus doing a full blown from an inventory management and also from a staging perspective across our 900 plus stores. As you can imagine, we wanted to make sure that we’re making the right incremental investments in those categories and they resonated well, but small from an overall contribution standpoint. As you think about the things we’re doing to grow traffic, one is TSA. We’ve launched that, that’s well underway. We expect to be fully across. I think it’s about 500 stores sometime middle of next year. That’s going to be a traffic driver. We’re looking at other areas within the travel. I’ll use that more broadly speaking, travel area that can drive traffic as it relates to, not going to the store just particularly for office supplies or for the categories we carry. And then from an e-commerce perspective, if you visit our site, you’ll see we’re constantly looking at ways to drive traffic, looking at ways to market to our customer base to try to drive that traffic. And that’s been probably the biggest challenges this year. Candidly has been the e-commerce versus the actual in-stores down, but e-commerce has been a bigger challenge. But we have a new leader in place and we are doing everything we can to drive momentum in that business.
Joe Gomes: Okay. Great. And one last one for me on there. What kind of growth customers sequentially did you see in that business?
Anthony Scaglione: We don’t break out the customer accounts, but I can say what we’ve seen is the continued momentum and what they’ve been able to deliver, it’s a relatively new business model. It’s just getting the word out. You see the excitement on LinkedIn and the areas that we’re doing some specific, what I would say low-cost business model marketing that’s driving attention. And we’re getting our fair share of looks. It’s a tough market, as you can imagine, the 3PL logistics market, being a new player in that market, just being recognized from a capability standpoint. But if we have an opportunity and we’re expecting some time in Q1 to do a Veyer Day similar to the Varis Day, where we can share a lot more about not only what we’re doing with existing customers, but how we’re developing the platform further to drive additional growth over the next couple of years. And as you know, it’s a very large market and our ability to drive opportunities with the infrastructure, and the assets that, Chairman, Joe mentioned in his prepared remarks. It’s clearly an area that’s driving a lot of excitement within the company and also with our customers.
Joe Gomes: Great. Thanks for that update. Thank you.
Anthony Scaglione: Thanks, Joe.
Operator: Thank you. And this concludes the Q&A session for today. I will now turn the call back over to The ODP Corporation’s Chairman of the Board, Joe Vassalluzzo, for closing remarks.
Joseph Vassalluzzo: Thank you. And thank you again for joining our call today. We certainly appreciate your interest in The ODP Corporation, and look forward to speaking with you again next quarter.
Operator: Thank you for your participation in today’s call. You may now disconnect.